Operator: Good day, and thank you for standing by. Welcome to the Fourth Quarter 2023 Summit Midstream Partners LP Earnings Conference Call. At this time, all participants are in a listen-only mode. After the presentation, there will be a question-and-answer session. Please note that today’s conference is being recorded. I would now like to pass the call over to the Director of Finance, Treasurer and Investor Relations, Randall Burton. 
Randall Burton: Thanks, operator, and good morning, everyone. If you don’t already have a copy of our earnings release, please visit our website at www.summitmidstream.com, where you’ll find it on the homepage, Events and Presentations section or Quarterly Results section. With me today to discuss our fourth quarter of 2023 financial and operating results is Heath Deneke, our President, Chief Executive Officer and Chairman; Bill Mault, our Chief Financial Officer, along with other members of our senior management team. Before we start, I’d like to remind you that our discussion today may contain forward-looking statements. These statements may include, but are not limited to our estimates of future volumes, operating expenses and capital expenditures. They may also include statements concerning anticipated cash flow, liquidity, business strategy, and other plans and objectives for future operations. Although we believe that the expectations reflected in such forward-looking statements are reasonable, we can provide no assurance that such expectations will prove to be correct. Please see our 2022 Annual Report on Form 10-K, which was filed with the SEC on March 1st, 2023, our 2023 Annual Report on Form 10-K, which will be filed soon, as well as our other SEC filings for a listing of factors that could cause actual results to differ materially from expected results. Please also note that on this call, we use the terms EBITDA, adjusted EBITDA, distributable cash flow and free cash flow. These are non-GAAP financial measures, and we have provided reconciliations to the most directly comparable GAAP measures in our most recent earnings release. And with that, I’ll turn the call over to Heath.
Heath Deneke: Thanks Randall, and good morning, everyone. Thank you for joining us today to discuss our fourth quarter and full year 2023 results. We will also discuss our current 2024 outlook, which is looking to be another solid year despite the low gas price environment that we are in.  But first, I would like to provide a brief update on our strategic alternatives review. The process which we launched in October of 2023 remains very active. We are continuing to evaluate multiple opportunities ranging from asset sales to partnership level transactions, all with a goal of maximizing value for our unitholders.  While we have not set a definitive timeline to complete our strategic alternatives review, we have made substantial progress over the past several months and now believe we are entering into late stages of the review. We remain very excited about the opportunity set to further maximize value for our unitholders and we look forward to providing more fulsome update in the near future.  Now, onto our fourth and 2023 results, Summit delivered fourth quarter adjusted of $75 million and full year 2023 adjusted EBITDA of $257 million, which represents about 25% EBITDA growth from the prior year. During the year, we generated over $125 million of distributable cash flow and just shy of $60 million of free cash flow.  Aside from our solid financial results, we have multiple operational and commercial successes that we expect will drive earnings growth in 2024 and beyond. In the Northeast, behind our wholly-owned Utica system will commission as previously announced compression project resulting in an incremental compression fee and that’s beginning in the first quarter of 2024. Also in the Northeast, behind our Ohio Gathering joint venture, we executed a new 15 year gathering agreement which dedicated over 25,000 acres to this system with a producer located in the condensate window of the basin. That producer is currently running a one rig program and we expect to turn eight [Ph] wells in line in 2024 and they have indicated another 12 wells to be drilled and completed in 2025. We also executed a new 10 year take-or-pay contract with a large independent producer behind a Double E Pipeline. As the new contract will connect Double E to a $300 million a day processing complex that is currently under construction and will position us to capture incremental volumes as that plant is expanding in the coming years.  We are making progress with our shippers to secure additional take-or-pay contracts among who is at the fundamentals in the Delaware Basin are really setting the stage of what we expect to be a very productive year in commercializing Double E. Also in the DJ, we’ve been very focused as you know on integrating and optimizing the DJ Basin acquisitions. We completed a number of debottlenecking projects that will allow us more efficiently utilize the systems, which we believe will drive between $5 million and $10 million in optimization value starting in 2024 and beyond.  2023 was certainly a very busy and very productive year for Summit and our employees and we expect that those activities we executed in 2023 to continue to drive growth into 2024. Earlier this morning, we had announced full year 2024 adjusted EBITDA guidance of $260 million to $300 million, which at the midpoint represents approximately 5% year-over-year growth.  This growth is driven by 170 to 230 well connects and we expect to connect to the systems in 2024. Of the expected well connects in ’24, approximately 15% are dry gas oriented wells, approximately 35% are liquids rich gas oriented wells and approximately 50% are crude oil oriented wells, which we feel is a good mix of commodity exposure, especially given the softness we are currently seeing in natural gas strip pricing.  Similar to previous years, our guidance range incorporates real-time feedback we are receiving from our customers regarding their development plans and we are tracking rigs and completion crews to ensure well connects remain on track in 2024.  Just as a refresher to our risking and guidance methodology, if our producers hit their turn-in-line dates and production targets we would expect to be at the high end of our adjusted EBITDA guidance range of ‘24. The low end of our range reflects approximately 15% reduction in planned well connects, and we have further risked the timing of wells that are slated to come online in the second quarter and beyond. We’ll continue to keep an eye on activity levels in and around that system and we’ll provide updates throughout the year.  Our 2024 capital guidance ranges from $30 million to $40 million this year, which includes maintenance capital which is primarily related to well connects in the Rockies and the Northeast segment. This level of capital and resulting adjusted EBITDA expected in 2024 goes to show the amount of operating leverage, free cash flow generations these assets are capable of producing.  And with that, I’ll hand the call over to Bill to provide some additional details on our financial results and 2024 guidance. 
Bill Mault: Thanks, Heath, and good morning, everyone. As Heath mentioned, we had a great year and with the business trending as we expected, and are excited about how 2024 is shaping up. I’ll start by discussing our financial performance, followed by providing a bit more color on our 2024 guidance. Summit reported fourth quarter net loss of $15.1 million, adjusted EBITDA of $75 million, resulting in full year 2023 adjusted EBITDA of $267 million.  Capital expenditures totaled $19.2 million for the quarter and $69 million for the full year 2023which as a reminder included approximately $15 million of one-time integration, capital-related to our DJ Basin acquisitions and recently commissioned compression station expansion at SMU. With respect to SMLP’s balance sheet, we had $313 million outstanding under our $400 million ABL facility and our available borrowing capacity at the end of the fourth quarter totaled approximately $83 million, which included $4.3 million of LCs.  Now turning to the segments. In the Northeast, which is inclusive of our SMU system, proportionate share of Ohio Gathering joint venture and our Marcellus system, the segment averaged 1.62 Bcf per day during the quarter, inclusive of 826 million cubic feet a day of 8/8ths OGC volumes, and segment adjusted EBITDA totaled $28.4 million, an increase of $0.7 million from the third quarter of ‘23. The variance was largely due to higher volume throughput on our wholly-owned SMU system from three new wells turn-in-line during the quarter and a full quarter contribution of the 14 wells turn-in-line in the third quarter. This was partially offset by natural production declines behind our OGC joint venture.  There are currently three rigs running behind our systems, one behind our wholly-owned SMU system and more than 35 DUCs behind the OGC, SMU and Mountaineer systems. The Rockies segment, which is inclusive of our DJ and Williston Basin systems generated adjusted EBITDA of $22.4 million, which was down by $1.1 million from the third quarter largely due to a 4.7% decline in liquids volume from natural production declines and lower commodity prices impacting our POP contracts in the DJ Basin.  This was partially offset by a 7.7% increase in natural gas volumes and approximately $1 million of lower operating expenses. We estimate lower realized commodity prices negatively impacted gross margin by approximately $2 million during the quarter. Liquids volumes average 81,000 barrels per day, a decrease of 4,000 barrels a day relative to the third quarter, primarily due to natural production declines, partially offset by five new wells connected to the system during the quarter.  Natural gas volumes averaged 126 million cubic feet a day, an increase of 9 million cubic feet per day, relative to the third quarter, primarily due to wells connected during the second quarter reaching peak production and 37 new wells connected to the system during the quarter that should reach peak production in the second quarter of 2024.  There is currently one rig running behind our systems and more than 80 DUCs, which represents the majority of the well connections we are expecting in 2024.  The Permian Basin segment, which includes our 70% interest in the Double E pipeline reported adjusted EBITDA of $8 million, an increase of approximately $2 million relative to the third quarter, due primarily to contractual ramp ups in take-or-pay volume to 985 million cubic feet per day.  Volume throughput on Double E averaged 386 million cubic feet per day, representing an increase of 18% relative to the third quarter. There continues to be approximately 100 rigs running at Eddy and Lea Counties and announced processing plant expansions in Delaware Basin, giving us confidence in the fundamental long-term outlook of the pipe.  The Piceance segment reported adjusted EBITDA of $16.1 million, up $0.8 million relative to third quarter due primarily to 21 new well connects to the system during the quarter, driving volume throughput to 317 million cubic feet per day during the quarter.  The Barnett segment reported adjusted EBITDA of $5.8 million, a decrease of $0.3 million relative to third quarter, primarily due to an increase in operating expenses, partially offset by an increase in volume throughput from six new wells connected to the system during the quarter. There is currently one rig running and 24 DUCs behind the system. And as we have discussed previously, a customer continues to keep approximately $20 million a day of production shut-in due to the low natural gas prices and we estimate these shut-ins negatively impacted adjusted EBITDA by approximately $1.3 million during the quarter.  I’d like to now focus on our 2024 guidance and reiterate Heath’s comments, the midpoint of our guidance range, risks the timing of well connections relative to what customers have provided. The low end risks, all of that even further, and the high end assumes customers hit their timing targets. We currently have five rigs behind the system and more than 140 DUCs, which represents approximately 70% of the expected well connections at the midpoint of the range. And as Heath already mentioned, approximately 85% of those wells are from crude oil oriented and liquids rich gas oriented areas, which we view as favorable given the support of crude oil strip. Further that, of the dry gas oriented wells, approximately two-thirds of those wells are expected to be turn-in-line in the Barnett from a customer who has continued to run a rig and develop wells throughout 2023 including four new wells that have already been brought online in the first quarter of ’24.  We believe this customer is less sensitive to natural gas prices given other infrastructure they have in the area. In the Northeast, we are currently expecting 55 to 75 well connects in 2024, which will keep volumes and adjusted EBITDA relatively flat from 2023 at the midpoint of our guidance range. And as Heath mentioned, we did execute a new agreement with the second largest natural gas producer in Ohio, behind our OGC joint venture. We expect them to develop a handful of wells this year with more to follow in ’25.  In the Rockies region, we are currently expecting 100 to 130 well connects in 2023, with 80 to 100 coming from the DJ and the remainder in the Williston. This level of activity will drive volume throughput growth in gas volumes and a modest volume decline in liquids throughput. We believe this slowdown in activity in the Williston is due primarily to third-party gas gathering constraints in the basin that should be alleviated towards the latter half of the year. And going forward, we would expect activity levels to be more in line with what we experienced in 2023. We also aren’t terribly surprised to see some activity delays given some of the upstream M&A activity that occurred in mid to late 2023 up in the Williston.  Quickly on the Piceance, we are expecting no new well connects in 2024, which will result in a modest decline in volume and EBITDA compared to 2023.  Now to the Barnett, we are expecting 15 to 25 wells in 2024, which we expect will result in approximately 15% volume throughput growth relative to 2023. There is currently one rig running and 24 DUCs behind the system. Additionally, we have already turned-in-line four wells in the first quarter with more being drilled and completed as we speak.  As I mentioned earlier, we currently estimate that there is $20 million a day of production shut-in behind the system that we are not expecting to turn back in line in 2024 and our current guidance is reflective of that at the midpoint and low end of the range.  Shifting to the Permian. We expect the first volume from our recently executed contract during the second quarter of 2024 when we expect that contract to step up to its 40 million a day take-or-pay commitment during the first half of 2025. The year-over-year expected EBITDA growth is primarily related to contractual step-ups in long-term take-or-pay contracts.  Finally, I’ll spend some time discussing CapEx and the balance sheet. We are expecting to spend $20 million to $25 million in growth CapEx for 2024 and $10 million to $15 million of maintenance CapEx. The majority of growth CapEx for ’24 will be spent in the Rockies region where we have a number of pad connects given the amount of well connections expected for the year.  And with $260 million to $300 million of expected adjusted EBITDA and $30 million to $40 million of total capital, we expect significant free cash flow generation and debt paydown throughout the course of the year.  Based on the midpoint of our guidance range, we expect to generate approximately $90 million to $95 million of free cash flow available to pay down debt.  And with that, I’ll turn the call back over to Heath for closing remarks. 
Heath Deneke: Great. All right. Thanks, Bill. Look, as discussed on the call today, we are certainly pleased with the progress that we made in 2023 and really are excited about the outlook and opportunity set for Summit in 2024 and beyond. We are extremely focused on closing out our strategic alternatives review while we continue to execute and optimize our base business.  We look forward to providing further updates on our strategic review here soon and we believe that we will obviously continue to provide updates on the – base business throughout the year. With that operator, I’d like to open up the call for questions. 
Operator: [Operator Instructions] And it comes from the line of Gregg Brody with Bank of America. Please proceed. 
Gregg Brody : Good morning and as always, thanks for the comprehensive guidance and update. Just couple comments that you – the strategic review you said expect something near-term. Is there should be more specific in terms of the timeline? 
Heath Deneke: Yeah, hey, morning, Greg. This is Heath. Now, look, I think we’ve said what we can say at this point I think it’s been a very robust process. I think we are entering into advanced stages and starting to narrow in on the alternatives that we think are going to maximize value. So I think that’s really about all we can say now. There are no definitive timeline, but it does realized that that we’ll have something here some further direction in guidance here fairly soon. 
Gregg Brody : And those, and the – as you said, focusing on what you can do the – your commentary implies a sale is no longer part of the strategic review.
Heath Deneke: No. I didn’t mention to say that or imply that. 
Gregg Brody : No, I was just looking at the press release. Maybe I was – focus too much on – focus on asset sales and joint venture type activity. Sorry. 
Heath Deneke: Yeah, and partnership level transactions, what we said in the release, as well. 
Gregg Brody : Yeah, but the sale is – is still a possibility? 
Heath Deneke: Sure. 
Gregg Brody : Sure. Okay. And just on the Permian, obviously, you published about the contract and what that means for this year. Could you talk a little bit more about the expansion opportunities there? You mentioned that in your press release and comments try to quantify how that plays out. 
Heath Deneke: Yeah, you bet. So, look, I mean, we’ve been kind of calling this probably the past year, year or two that we see this ramp up in production activity particularly in New Mexico, but more broadly the Delaware Basin. We watched all the other existing infrastructure kind of fill up. We started to see volumes increase on the Double E pipeline.  And this is evidenced by this recent one that we announced. It’s not a huge contract, 40 million a day. But it’s ten year take-or-pay and reported we connect this to a 300 million a day complex with an investment-grade shipper. So, I think there will be more to come on that front. But in addition to that, in and around the New Mexico area, we are seeing increase in not just activity levels around the Double E pipeline but the realization that the current residue gas takeaway situation is getting constrained.  So I think, from our view, we see a lot of near-term opportunities here in and around our existing footprint that we can connect new plants in Delaware the residue gas to us. So pretty right environment we think in 2024 for us to continue to gain additional contracts.
Bill Mault: Yeah, and Heath, not just Greg, that there is about 3 Bcf of processing plant expansions that are within a reasonable capture area of the pipeline. So we kind of view all this infrastructure build – playing the infrastructure build as well as some of the recent discussions with potential customers that the markets coming to us here as we expected and we are excited about the prospects.
Gregg Brody : Great. Well, thank you for your time guys. Appreciate it. 
Operator: Thank you. And with that ladies and gentlemen, we close our Q&A and conclude our conference call today. Thank you for participating and you may now disconnect.